Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss Daseke's financial results for the first quarter ended March 31, 2019. Delivering today's prepared remarks is Don Daseke, CEO and Chairman; Scott Wheeler, President and Director; Bharat Mahajan, CFO; and Chris Easter, COO. After their prepared remarks, the management team will take your questions. Before we go further, I would like to turn the call over to Cody Slach of [Gateway IR] [ph] Group, Daseke's IR Advisor, as he reads the company's Safe Harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead.
Cody Slach: Thanks, Skyler. Today's presentation includes forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Such forward-looking statements include projected financial information. Forward-looking statements, including those with respect to revenues, earnings, performance, strategies, prospects and other aspects of Daseke's business are based on current expectations that are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. I encourage you to read our filings with the SEC for a discussion of the risks that can affect our business. We undertake no obligation to revise our forward-looking statements to reflect events or circumstances occurring after today. During the call, there will also be a discussion of some items that do not conform to U.S. Generally Accepted Accounting Principles, or GAAP, including acquisition-adjusted measures, adjusted EBITDA, adjusted operating ratio, adjusted net income and free cash flow. Reconciliations of these non-GAAP measures to their most directly comparable GAAP measures are included in the Appendix to the investor presentation and press release issued this morning, both of which are available in the Investor's tab of the Daseke Web site, daseke.com. In addition to being in the flatbed specialized trucking business, Daseke is in the business of acquiring other flatbed specialized carriers to join Daseke. Therefore, investors in Daseke's stock should assume Daseke is always evaluating, negotiating and performing due diligence on potential acquisitions. Now, I would like to turn the call over to Daseke's CEO, Mr. Don Daseke. Don?
Don Daseke: Well, thank you, Cody, and good morning everyone. Starting on slide three, today, we will cover several topics. First, I will provide a high level review of our first quarter 2019 results, I will discuss our compelling market opportunity, our value proposition, and how we expect to drive shareholder value. Bharat will provide a detailed review for first quarter results and our expectations for the remainder of 2019. Chris will detail his first few months on the job, what he has learnt and his go-forward strategy. Finally, Scott will provide color on our growing brokerage operations and how we plan to continue to expand that aspect of our business. We'll then turn the call over for your questions. Turning to slide four, first quarter saw a continued growth as revenues increased 32% to $433 million. Revenue on an acquisition-adjusted basis, which is how we view organic growth, was up 7%. The net loss in the quarter was $9.3 million compared to a net loss of $0.8 million in the year-ago quarter. Adjusted net income was $1.8 million compared to $5.6 million in the quarter one 2018. The decline was largely due to investments made at the corporate level, including Daseke fleet services in May of last year, the recent launch of Daseke Logistics, the sheer fact that the size of our operations has grown substantially in the last three quarters compared to the prior year, and our new management hires. These investments are integral to our growth strategy, and I am confident they will continue to provide significant benefits to our company's future growth and success. Adjusted EBITDA in first quarter was up 24% to $43.8 million, which was the same as acquisition-adjusted EBITDA given that there were no acquisitions in the quarter. This compares to $41.8 million in acquisition-adjusted EBITDA last year. Note that excluding our corporate segment, which includes investments made to support our growth initiatives, our operating segments increased acquisition-adjusted EBITDA by 18%, outpacing acquisition-adjusted revenue growth of 7%. This is an important figure we look at internally as we aim to drive leverage across our operating companies. Slide five shows Daseke's compelling value proposition both to our customers and our shareholders. According to the Commercial Carrier Journal, we are the number one flatbed and specialized provider in terms of capacity. We are in the top 10 of all truckload carriers, and out of the top 25 carriers, we were the fastest-growing last year. These statistics are proof that the growth strategy we have implemented is working, and the operation that we have built has created the leading flatbed and specialized trucking company in North America. On to slide six, we went public in February of 2017, and during the year 2016 through the year ending 2018, we grew revenue at a compound annual growth rate of 57%. During this time, we also drastically grew the scope and scale of our business, diversified our revenue mix, and ended 2018 with over 50% asset-light, up from 34% in 2016. When analyzing our transition from asset-heavy to asset-light, I believe investors have put too much emphasis on resulting margin profile rather than the increased cash flow generation potential and the lower capital intensity this shift has in our business. With our mix more heavily weighted to asset-light, we will generate lower EBITDA margins. However, this comes with cash flow. This is evident in the outlook we provided for 2019, which calls for significantly higher free cash flow and lower CapEx compared to historical periods. Finally, we are very encouraged to hear the President and key congressional democrats are in agreement on a big bold vision to invest as much as $2 trillion on our nation's deteriorating infrastructure. This expands our runway for growth over the next several years and makes me even more excited about our future prospects. Looking to the remainder of 2019, I am very confident that our strategy to focus on organic growth, maximize free cash flow, and de-lever our balance sheet will drive long-term shareholder value. I will now turn the call over to Bharat. Bharat?
Bharat Mahajan: Thank you, Don. Before I discuss our results and turning to slide eight, I would like to discuss the term that we reference on a regular basis: acquisition-adjusted. Our financial statement results only include the period post the transaction date and acquisition-adjusted includes the results both pre and post the transaction date. Therefore, we believe our results on an acquisition-adjusted basis are a better proxy of our size and organic growth and provides some helpful data points. I will now move to our Q1 financial details which are presented on slide nine. Revenue increased 32% to $433 million compared to $327.6 million in the year-ago quarter. On an acquisition-adjusted basis, revenues were up 7% which again is how we internally view organic growth. Operating income was $0.7 million compared to $7.7 million in the year-ago quarter. Daseke was highly acquisitive throughout 2017 and 2018. As a result, when we acquired companies we stepped up the book value of assets for each acquisition to fair market value and recorded the value of intangible assets such as customer relationships and non-compete agreements. The depreciation impact of the step up of assets to fair market value as well as the amortization of intangibles impacts our operating income and net income which makes comparability to other trucking companies that are not as acquisitive less meaningful. For the first quarter of 2019, $6.8 million of depreciation was related to the net impact of the step up in the basis of acquired assets and amortization was $4.3 million for a total non-cash impact of $11.1 million. Net loss for Q1 was $9.3 million or $0.14 per share compared to a net loss of $0.8 million or $0.01 per share in the year-ago quarter. Adjusted net income when we adjust for acquisition or business combination related expenses, amortization of intangible assets, and the net impact of the step up in basis of acquired assets was $1.8 million compared to $5.6 million in the first quarter of 2018. Adjusted EBITDA increased 24% to $43.8 million compared to $35.2 million in Q1 2018. Acquisition-adjusted EBITDA was also $43.8 million compared to $41.8 million last year, up 5%. As Don mentioned, EBITDA in Q1 of 2019 included the increased investment in our corporate segment with the addition of Daseke fleet services, Daseke Logistics, cost reflecting our larger size and scale and the new management positions. When comparing corporate cost to the year-ago quarter, timing differences have certain accruals to be lower than normal in Q1 of 2018, excluding these investments and corporate costs, our operating segments through acquisition-adjusted EBITDA by 18%. Looking at our results by segments, specialized revenue in Q1 increased 46% to $269.7 million, and adjusted EBITDA was up 45% to $35.4 million. Flatbed revenue in Q1 increased 16% to $167.9 million, and adjusted EBITDA increased to $18.3 million. As a reminder, there is seasonality in our business. We move open deck break, so our freight is exposed to the elements and demand is higher in the warmer months. Typically, you will see higher levels of rate, revenue, and earnings in the second and third quarters and typically lower levels in the first and fourth quarters. Moving on to a more detailed view of our segment results, slide 10 provides a view of our specialized segment. Adjusting operating ratio improved to 93.8% from 94.4% in Q1 2018, as we benefited from increased operating leverage in the business. Acquisition-adjusted revenue and acquisition-adjusted EBITDA were up 13% and 25% respectively. Specialized rate per mile increased 35% to $3.61 compared to $2.67 in the first quarter of 2018. Driven by higher rate per mile project business revenue per tractor increased 13% to 60,000 compared to 53,200 in the year ago quarter. Slide 11 shows a flatbed segment, flatbed adjusted operating ratio in Q1 was 96.7% compared to 94%.6% in the year ago quarter. We had several factors that led to the higher adjusted operating ratio, including the impact of the Polar Vortex, and others that Chris will discuss later. Acquisition-adjusted revenue was $167.9 million, compared to $168.4 million in the year ago quarter. Acquisition-adjusted EBITDA was up in Q1 to $18.3 million from $17.2 million in the year ago quarter. Flatbed rate per mile in Q1 increased 8% to $1.96. And flatbed revenue per tractor increased 2% to 41,600. Contract rates are holding up well and show the quality of our revenues. Slide 12 shows the breakdown of our Q1 acquisition-adjusted EBITDA. Our operating segments grew acquisition-adjusted EBITDA of 18%. The current run rate of around $10 million at corporate is consistent with the last several quarters and our guidance for the year. Overall, Q1 acquisition-adjusted EBITDA was up 5%, showing strong results, including recent investments in future growth. Next, slide 13 highlights our last 12 months performance as of march 31 2019. Revenues increase 70% to 1.7 billion, while acquisition-adjusted revenue increased 12% to nearly $1.8 billion. Adjusted EBITDA increased 67% over this period to $182.9 million and was up 12% on an acquisition-adjusted basis, the $192.4 million. Now turning to our balance sheet and free cash flow, as slide 14 indicates at March 31 2019, we had cash of $62.4 million. Nothing else standing in $87.8 million available under our revolving credit facility for total available liquidity of $150.2 million. Net debt was $648.4 million cash from operating activities with $36.4 million. Cash CapEX was $3.9 million. Cash proceeds from the sale of excess capital assets were $4.6 million, resulting in free cash flow of $37.1 million for the quarter. This compares to free cash flow and $12.5 million in the first quarter of 2018. Moving on for leverage metrics on slide 15, and as we discussed on our last call, if one were to use a common financial reporting platform to calculate leverage using historical reported results, without taking the full impact of acquisitions into account, one could calculate a leverage ratio approximately 4.4 times EBITDA as of 12/31/18. However, it is very important to note that in accordance with our debt facility, leverage as defined was 3.2 times at March 31. Note that this is lower than what commonly used financial platforms show because these calculations reflect the debt from acquisitions right after closing but do not reflect the full-year of corresponding acquired earnings. Our debt agreements make pro forma adjustments for this, finally we still expect to de-lever the balance sheet by the end of the year and our end of year net leverage ratio as defined in our debt agreements is expected to be approximately 2.9 times at December 31, 2019. I will now turn the call over to Chris, so he can speak about operations, Chris?
Chris Easter: Thank you, Bharat, and good morning everyone. Turning to slide 17, during the first three months on the job, I embarked on a listening, assessing and prioritization mission. I dedicate the majority of my time and focus on gaining an understanding of each Daseke the operating company and how we execute across the platform. During this time, I visited many operations and facilities where I was able to observe the diversity of our customer base and the equipment we use to service those customers. I took time to listen to our teams, the drivers, support staff and senior management. This allowed me to gain a better understanding of how we serve and provide value to our customers. What opportunities our team see for growth and the business challenges we face and can improve upon. Although listening and assessing never stopped, I have now shifted my focus to prioritization and execution. As I prioritize my work, I will be investing my time in the coming months in three distinct areas. First, I'll be working with our team to develop a framework for sustainable execution across our operations. This includes refining our KPIs to those that are the most meaningful indicators of performance and provide actionable insights as well as prioritizing our initiatives to those that provide the most value potential can result in quick wins and will be an efficient use of our resources. My second area of focus will be the allocation of resources to our operating companies whose market and capabilities allow for immediate organic growth and incremental margin gains. This may come in the form of deploying additional assets to support growth or in some cases ensuring we are not taking the operational leaders focus away from the execution of their business plans. My third area of focus is embracing our operating companies or facing market headwinds or need additional support and resources to better optimize their operations. We have extremely knowledgeable and experienced Managers across the business but we need to improve upon our collaboration efforts and sharing best practices. One of the key benefits of our diverse operating experience is that our leaders have managed through cycles. They have successfully navigated and performed through cycles of both strong growth as well as headwinds. We've experienced some recent headwinds in this segment of our business, the flatbed and see opportunities to improve our operating ratio. Very early in my career, I learned a valuable lesson while working at Wal-Mart, when we voiced reasons that market dynamics or weather were impacting our business, the question we immediately asked ourselves was so what. So what are you doing about it? That mindset is valid in my role today more than ever. Let me give you a specific example. We have room to improve our operating ratio in flatbed. The density we have built gives us the opportunity to really drive asset utilization in this segment. We have some of the most efficient flatbed operators in the business. These are data driven efficient operators with ORs consistently in the low 90s, key leaders from these low OR operations are now parachuting into the higher OR operations, to mentor and help establish similar operating procedures and expectations for performance. The team is looking at both the cost structure and revenue profiles to establish more standard operating procedures across our flatbed operations. It is about taking our collective knowledge of the market and using that to our advantage, and this is not a future project for development but an action underway right now. I would be re-missed if I did not comment on the solid execution within our specialized segment. Despite the negative impacts associated with weather, we had a very strong growth and with many large scale capital projects, including wind energy which is expected to carry forward through the balance of 2019. In fact the strength of wind energy projects is forecast to continue through at least 2020. With that, I will turn the call over to Scott for a discussion on our growth strategy for the brokerage business.
Scott Wheeler: Thank you, Chris. A significant priority for Daseke in 2019 and beyond is the continued growth of our brokerage business. Turning to slide 19, this is not a new revenue generating aspect of our business, and in 2018, we grew brokerage revenues to approximately $265 million. Let's talk about why we view this as a profitable growth driver for Daseke. First, this is a core competency for us. Our value proposition of the competition is that we focus on the flatbed and specialized trucking market where we have deep and longstanding customer relationships and expertise. We understand the customer needs and requirements and have the expertise in the freight being moved. Brokerage is a way to further optimize our asset utilization rates in a much less capital intensive business leading to potentially higher free cash flow generation. Brokerage provides flexibility in different market cycles and gives us the ability to take on new customer opportunities that we do not serve today allowing us to continue to grow our market share. To drive this initiative, we launched Daseke Logistics in April 2019. Daseke Logistics is a standalone operation that works with our own fleet, owner operators and the third party providers and as a complement to what we have already been doing. This team is led by a former CEO from one of our operating companies with the strongest brokerage history. Daseke Logistics is one of the only assets-backed third party logistics providers solely focused on the flatbed and specialized trucking space. With scale across North America, this is a natural extension of our capabilities. The team's three main priorities will be to one, capture demand to optimize our own asset utilization rates. Two, locate capacity to support downturn business. And three, define and execute on Greenfield customer regional or volume opportunities. Finally, as you look at the history of our company, this is a natural and intentional evolution for us. It will allow us to continue to organically grow the business, take market share by expanding our customer base, and strengthen our relationships with our current customers. Before turning the call back over to the operator for Q&A, let's turn to slide 20, we will review our key takeaways. First, we delivered strong Q1 results. We grew acquisition-adjusted revenue by 7%. And excluding investments made in our corporate function, our operating segments grew acquisition-adjusted EBITDA by 18%. Second, Chris, our new COO is developing an operational framework to drive efficiencies across the business. These initiatives will aid in creating further value from the diverse and resilient company we have built over the last decade. And lastly, our recently launched the Daseke Logistics operation as brokerage overall is a primary growth driver focus for us. We have extensive expertise in customer relationships within the flatbed and specialized market and are positioned as one of the only asset-based third party logistic providers solely focused on industrial freight as a powerful offering to the market. This concludes our remarks. Now we will turn the call back over to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from Jason Seidl with Cowen and Company. Your line is now open.
Adam Kramer: Hey, guys. This is Adam on for Jason. First, I just wanted to ask about recent contract renewals, what percent increase have [indiscernible], and what are your expectations for rate increases in 2Q and then for the remainder of 2019?
Chris Easter: Yes. This is Chris. Yes, I would just say we're comfortable and confident with our 2.5% blended rate we have forecasted for 2019 at this point. We are not seeing anything indicating -- in other words as indicated by our strong increases on our rate per month.
Adam Kramer: Go it, great. Appreciate that. And then I also wanted to ask a little bit about M&A. I know you guys have kind of taken a step a back from that, but I wanted to ask if you're kind of maybe using that into looking at potential deals, and in particular there was a [indiscernible] carrier that announced a bankruptcy over the weekend. I am wondering if kind of unique opportunity like this one or like something similar to this were to arise, would you guys consider kind of stepping back into the M&A world?
Scott Wheeler: This is Scott. I'll take a first short at that. And then we'll see if Don has anything he would like to append. The answer is we're focused on what we said we were going to focus on for 2019. Our primary focus is on free cash flow generation, de-leverage of the business, and dialing in the operations with our new COO. That does not mean that if something opportunistic came along, we would certainly take a look at it and consider it. But that is not our primary focus for the current period.
Don Daseke: And, Scott, I would totally agree with that. I have nothing to add.
Adam Kramer: Got it. Well, thank you guys for the time. I appreciate it.
Operator: [Operator Instructions] Our next question comes from Steve Dyer with Craig-Hallum. Your line is now open.
Steve Dyer: Thanks. Good morning, everyone.
Bharat Mahajan: Good morning, Steve.
Don Daseke: Good morning, Steve.
Steve Dyer: Just a question on weather in the quarter, a lot of the carriers who have reported so far indicated some difficulty with it. Did you see any impact, and if so, any ability to quantify?
Chris Easter: Yes. This is Chris. I'll take that. Thanks for the question. I think the weather did affect us more so in the flatbed than the specialized. But, I would say it wasn't -- it may not have been a significant for some given the diversity of our business. But, it did have some impact on us.
Steve Dyer: Got it. Okay. And then specific to the specialized segment, you've now sort of seen rates in that $350 to $360 per mile range for several quarters in a row. Is that a good run rate that you view going forward, or anything that would swing that one way or the other for the balance of the year?
Chris Easter: Given the diversification of our business, I would say there is things that could swing that at points just because of our revenue mix. I would say right now that we kind of feel fairly good about that, but I feel even better about our ability to drive improved operating ratios off whatever that rate per mile presents as we are moving forward.
Scott Wheeler: I would add one more thing to that, Steve. This is Scott. The thing that we see shifts in specialized is the percentage of our revenues that come from project, right, big projects where say installation of wind power generation farm or something like that would be a different rate than perhaps moving heavy agricultural equipment.
Chris Easter: Yes, and I would just add that would be just the average length of all. Some of these projects are very short haul and your rate per mile really does boost, but right now, I think we feel fairly comfortable to where we are on that rate. And again, the [indiscernible] improvement is going to be a real key as we are moving forward.
Steve Dyer: Okay, great. And then Bharat, could you help me sort of on the free cash flow walk? It looked like $37 million of free cash flow for the quarter actually net negative CapEx in the quarter, looks like debt came down or net debt came down by $7 million. Where is the other $30 million in the quarter? What am I missing?
Bharat Mahajan: Good question, Steve. So, when we look at how we have defined cash flow, we have very much adopted the -- what we have heard from industry peers what they are using which is cash flow from operations as well as CapEx from the base of the cash flow statement. We did -- you'll see in supplementary information invest about $25 million in CapEx that was financed. So if you kind of look at that $37 million free cash flow minus the $25 million that was financed as well as the dividend that we paid out of our $1.2 million, it kind of gets into that $8 million decrease on a net debt basis.
Steve Dyer: Okay, got you. I didn't see the finance portion. And then I guess just as it relates to CapEx going forward, you had indicated the first half will be sort of CapEx heavy, (A) Does that still sort of hold relative to the second half of the year? And then, sort of overall -- sticking bias on your overall similar amounts, so I think you said -- I forgot you said specifically about CapEx this year, but everything whole there?
Bharat Mahajan: Absolutely, so, we had guided, Steven, that $65 million to $70 million from a CapEx standpoint. And we did say that we were going to spend about 70% of it in the first half of the year. And where we kind of landed is it is about 35% in the first quarter. So, we are on track to the guidance that we have issued.
Steve Dyer: And then, how about the $65 million to $75 million what do you say is going to be financed or not sort of traditional CapEx?
Bharat Mahajan: We've included -- in that $65 million to $70 million CapEx, we included the finance CapEx in that number, Steve. So that is fully based number.
Steve Dyer: Okay, perfect. Thank you.
Bharat Mahajan: You're welcome.
Operator: [Operator Instructions] Our next question comes from Matt Brooklier with Buckingham Research. Your line is now open.
Matt Brooklier: Hey, thanks and good morning. So with respect to your prior '19 guidance, I didn't see any update in the release of the slides, but just wanted to ask if the $200 million to $210 million of adjusted EBITDA that's still a number that you're comfortable with and same question on the revenue side of things?
Don Daseke: Hey, Matt, good morning, and I'll take that sprat here. We are very comfortable with the guidance that we've issued. We historically have kind of updated guidance on a semiannual basis, and we expect to just continue to follow that pattern going forward. So, in terms of numbers we issued, yes, absolutely comfortable with what we've got out there.
Matt Brooklier: Okay, that's helpful. I just wanted to clarify. And then, from a from a corporate expense perspective, it sounds like that number you guys are investing and doing some things, hopefully getting some payback down the road, but the number in the quarter suggests a run rate that's maybe closer to $40 million, which I think is either at the high-end of previous guidance range that you provided. So I'm just trying to get a sense of that's kind of a good number from a run rate perspective, if the number is going to be closer to 40, or if you think there's some step-down as we move to the next three quarters of the year?
Don Daseke: Hey, Matt. If you look at the last few quarters, we've been kind of averaging around $10 million a quarter, and I expect that's the right run rate for us going forward, and that was factored into the guidance that we issued for EBITDA this year.
Matt Brooklier: Okay. And then just the last question, I'll pass it along, but it looks like the fleet count from what we are expecting, was kind of inline, it looks like you guys are doing a very good job of retaining drivers, maybe if you talk about the driver market if that's improved at all, and if there's any commentary you could provide on the driver weight side of things, I think that'd be appreciated?
Chris Easter: Yes, this is Chris. I'll take that, Matt. Thank you. Yes, I'd say, yes, we're comfortable with where the drivers count is that now. It certainly is a challenge. I mean that's -- I don't know that there's been a year in the past 30 in the business that I've had the drivers weren't, if not the number one, the number two challenge you faced on retention and recruiting. I think it's kind of settled down some this year. We're seeing some -- it looks like decrease in turnover, and it's a -- I think it's indicative of just the fact that there's not as much chasing after drivers right now. We're all looking, but the retention is more solid. And I'm sorry, what was the other part of your question?
Matt Brooklier: Yes, it's color on like directionally driver paid obviously was up a bunch last year, I'm assuming that the rate of change is going to be less this year, just given the rate environment…
Chris Easter: Absolutely, right. As the year progressed, it certainly did boost and, long overdue and well-received by the drivers, and of course, I'm sure that's a part helping with retention as well, but yes, I don't expect any kind of acceleration of that this year.
Matt Brooklier: Got it, helpful, thank you.
Operator: Our next question comes from David Ross with Stifel. Your line is now open.
David Ross: Yes. Thank you. Good morning, gentlemen.
Don Daseke: Good morning.
David Ross: I guess start off you know, Chris, we talked about your listening tour, when you were going around and meeting with the different operating companies, and what surprised you? I guess what was better than you thought and what was worse than you thought?
Chris Easter: I don't know that anything at all really surprised me. I could say there are several things that really excited me, the diversity of our business, maybe if I was to say anything was a little bit of surprised as I was introduced into the business was it how well-diversified our customer base is with the largest customers just over 4% of our business. It's extremely diversified, not only in cross customers, but in the various industrial sectors. And obviously, I think otherwise, I really didn't see any big surprises, I see a huge opportunity of course in our OR rate, and actually as we all know, that's where my focus is.
David Ross: And on that OR, you talked about taking the better OR operators and bringing them into some of the struggling companies to help them make improvements, is that the main strategy, or is there anything else you saw as it relates to the OR that you could easily help bring that down?
Chris Easter: Oh, that's just one piece as I mentioned earlier, also just kind of more enabling the high-performing operating companies, what can we do to better resource or allocate resources across our portfolio to support them? Less than any distractions at times we companies can distract sometimes operators from execution, and I want to make sure that we are not in any way doing that as we're moving forward as well through prioritizing various initiatives. I think things like we're doing, as Scott mentioned, with our brokerage initiative that certainly is going to help us as we're moving forward as well. There are many other things that we can dust-off from various playbooks I've had in the past as well as our operators who have as much some of these our oldest company things over 90 years in the business, so we have decades of experience to tap on and share across the business.
David Ross: And then, given the well-diversified customer mix, Daseke has a pretty good window into the industrial economy where growth seems to be slowing. What's the outlook from your customers? You talked about the remainder of 2019 in terms of business volumes, are they still planning on shipping more stuff than they did a year ago?
Chris Easter: Yes, maybe I'll start with that, and maybe Scott could add some color if he sees fit relative to the last year, but I'd say right now, we're seeing some softness that has been more related to weather, and some ancillary impacts to that than anything else. So, a little lighter volumes in Q1, but we're seeing no signs systemically, or any major way of any type of a recession. I know there's all this chatter in the market, but we're not seeing signs or hearing from our customers, anything that would indicate that. So, our focus again is on driving OR performance and capitalize on our organic growth opportunities with areas like brokerage. Scott, did you want to add anything relative to last year?
Scott Wheeler: No, it's with a portfolio as diversified as we have, you're always going to see pockets where things are really strong and pockets where things may not be as strong, and I think we're seeing that in recent months, but we're really encouraged in certain sectors that overweigh any concerns we have anything else, which allows us to remain confident in the guidance we've given for the year.
Chris Easter: Yes, maybe one other thing to add maybe is just some of our fair chunk of our business, maybe 15% to 20% dependent upon the various periods in years is related to more atypical, a cyclical business that falls outside the norm. When you're looking at things like aerospace and energy partly you know, high security type business, those areas we're seeing good strength and have good confidence where they're headed as well as we're moving forward.
David Ross: And then lastly on brokerage, so you talked about Daseke Logistics, I guess a little bit more color on how brokerage is organized, is it still sitting in specialized and in flatbed, is that the Logistics, the attempt to pull them out of the two divisions, and have it be a standalone for a specialized and flatbed? Guys, just a little bit more color about how that's organized and how you're looking to grow the brokerage piece?
Don Daseke: Sure, I would tell you that we have -- the vast majority of our operations are extensions of our existing operating companies serving our major customers. So, almost like a subcontractor to an overall contract where their performance metrics go directly to our overall performance metrics. So it's a very, very high-touch brokerage, and we really don't intend to shift away from that at Daseke Logistics at all. Daseke Logistics is more of the generic brand, the house brand; it's just more traditional third-party brokerage, transactional brokerage, as opposed to what we're doing with some of our largest customers with our existing OPCO. So, today about -- I'm going to say roughly 80% of our brokerage is extensions of our overflow freight from our existing customers, and then the remaining 20% is the more transactional and that's where we will focus Daseke Logistics. So, it's just -- I think of it as a separate operation and not an over -- operation overall brokerage.
David Ross: Okay. So, for example, if company ABC has a customer that one day trucks and you have five, that operating company will take it upon themselves to find the other capacity for the other three loads, you know…
Don Daseke: Yes, typically.
David Ross: How?
Don Daseke: They may look -- they will probably look to their existing third-party carriers that they use today and then they look to Daske Logistics for supplemental power as well.
David Ross: Yes, I wasn't sure Daseke Logistics is going to potentially pull all of that third-party capacity. So, all the OPCOs say I use these guys; you can kind of have them all in one central application…
Chris Easter: Yes, well, I mean we will share the best across the company, but that's not the point. We really need as you know, we'd like to focus on really great execution, really close to the customer with people that really understand that customer and that freight, and so that that group of broker carriers that are -- broker carrier partners that are carrying for our core customers today is a fairly small group.
David Ross: Okay, thank you very much.
Don Daseke: So, Daseke Logistics will be focused on the great broader market where there's thousands and thousands of carriers that can carry a wide variety of stuff but primarily focused on the flatbed market.
David Ross: Got it, thank you.
Operator: Our next question comes from Greg Gibas with Northland Capital Markets. Your line is now open.
Greg Gibas: Good morning. Thanks for taking my questions. First, I was just wondering if you could provide some details on where additional costs and revenue synergies can be realized with the current business going forward.
Chris Easter: Yes, this is Chris. I'll take that. I mentioned the sharing of expertise that's taking place today in areas where we're facing headwind like in some of the flatbed operating companies. There are many things we will be tackling in the coming months, and I guess I would say I'm dusting off some of my plays from various playbooks; my experience both with large scale, highly synergized operations as well as smaller scale operations, more similar to our operating companies, and really try and making sure we're going to strike a balance as we move forward, but there are opportunities, but at this point those are still -- I'm developing the framework and identifying and prioritizing those as we're moving forward.
Greg Gibas: Got it, that's helpful. Second, were there any large contracts or contracts with major customers that were recently renewed maybe in the quarter?
Don Daseke: The only one that was recently that would be the Boeing contract, which renewed for another three years.
Greg Gibas: Okay, fair. And then last one for me, I appreciate the color you provided earlier on CapEx expectations in 2019, I was just wondering the strong first quarter in terms of free cash flow. Is it safe to say your free cash flow expectations from before have improved?
Bharat Mahajan: I would say that if you looked at it from the standpoint of how a lot of the industry defines free cash flow, which is essentially looking at cash flow from operations minus cash flow off the base, the cash flow statement, we will do substantially better than what we have previously guided to. But if you look at kind of the way we look at CapEx with -- sorry, look at cash flow from the standpoint of EBITDA and looking at all the different components of it, we will be within the target range that we've got to put out there. So, we're comfortable with the guidance that we've issued, and feel that we will be in a strong position to meet it.
Greg Gibas: Got it, thank you.
Operator: And our next question comes from Adam Kramer with Cowen. Your line is now open.
Jason Seidl: Hey, guys, this is Jason. Adam and I are switching phones, except mine happens to be in London right now. I wanted to target on the logistics piece. Scott, I believe you mentioned the brokerage is now sort of 80% overflow, and then you're looking to grow sort of that other 20%. Is there an optimal mix going forward between overflow and more normalized brokers that you guys…
Scott Wheeler: Well, I would say that we expect to grow all segments of that business both with essentially the support of our existing major customers and then the more transactional, but I think the percentage growth is probably more likely to be in the more transactional piece, where we're actually putting a brand new effort to that with new teams, experienced people, new effort there. So I would think on a percentage basis, you would see more there. And frankly, that's where the fattest part of the open deck market to speak of anyway. There are literally tens of thousands of carriers out there in the flatbed space and lots of freight, and we're only focused on the very highest-end of that market. There may be some other opportunities for us that we're going to address through our expertise networks et cetera.
Jason Seidl: And you're just strictly sticking the flatbed, right? You're not looking to go into traditional truckload brokerage?
Scott Wheeler: No, what it may mean is that we may move some non-flatbed business for traditional, industrial customer of ours. If somebody may need some band freight moved and we would try and take it on, but that should certainly not be the core focus of what we're trying to do.
Jason Seidl: Understood, and what type of technology are you guys employing right now going forward, is this just an off-the-shelf system that you're purchasing?
Scott Wheeler: Yes, it's industry standard software that we're using. I guess I can give them an endorsement. We're using McLeod Power Broker for that but we also use MercuryGate and Daseke Link that we used to effectively optimize our network and freight throughout Daseke. We also used Daseke Link for a lot of other things as well, but those two things -- so MercuryGate is the backbone of Daseke Link, and the backbone of Daseke Logistics is McLeod Power Broker.
Jason Seidl: Okay, I appreciate the color and time as always.
Scott Wheeler: You bet, Jason.
Operator: At this time, I'm showing no further questions. I'd like to turn the call back to Mr. Daseke for closing remarks.
Don Daseke: Well, thanks everyone for joining us today. We're very excited about the first quarter, we're excited about our company today, and we feel very good about our future, and we appreciate all of your time and interest in us. And if you have any follow-on questions, please let us know. We look forward to talking to you. Thanks again for being with us today.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. We look forward to updating you on our second quarter in a few months.